Operator: Greetings and welcome to the SeaChange Fiscal 2014 First Quarter Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Monica Gould, Investor Relations with SeaChange International. Thank you, Ms. Gould, you may begin.
Monica Gould: Thank you, Roya[ph]. Good afternoon, everyone, and thank you for joining us. SeaChange released results for the first quarter of fiscal 2014 ended April 30, 2013, today after the market close. If you would like a copy of the release, you can access it on the IR section of our website at www.schange.com/ir. With me on today's call are Raghu Rau, CEO; and Tony Dias, Interim CFO. This call is being webcast and will be archived on the Investor Relations section of our website. Before Raghu begins, I'd like to remind you that the information we're about to discuss today may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in our SEC filings, including our annual report on Form 10-K, which was filed on April 10, 2013. Any forward-looking statements should be considered in light of these factors. Additionally, this presentation contains certain non-GAAP or adjusted financial measures as defined by the SEC. Per SEC requirements, we have provided a reconciliation of these measures to the most directly comparable GAAP measures and tables attached to the press release. Any redistribution, retransmission or rebroadcast of this presentation in any form without the expressed written consent of SeaChange International is prohibited. And with that, I'd like to turn the call over to Raghu.
Raghavendra Rau: Thank you, Monica, and good afternoon, everyone. Welcome to the SeaChange earnings call for the first quarter of fiscal 2014. On today's call, we will cover our first quarter performance, provide an update on the company's strategic plan and discuss our outlook for the second quarter and the rest of fiscal 2014. We're pleased to report first quarter results at the high end of our guidance range. Revenue of $35.6 million declined 2.9% versus the year-ago quarter. This was a more moderate decrease than we forecasted due to strong new product sales, which rose 70% year-over-year and offset some of the expected decline in legacy products. Non-GAAP operating earnings of $0.04 per share were also at the top end of our guidance range, reflecting increased sales volumes and a higher mix of product licensing revenues. Now, I would like to provide an update on some of the strategic growth drivers I identified on our last earnings call. Our first priority is to upgrade existing cable customers to our next-generation Adrenalin multiscreen video platform and Infusion Advertising Platform. We're actively engaged in this process and are very encouraged by our customers' appreciation of the value proposition of these products. Second, we continue to replace competitor legacy deployments with the best-in-class Adrenalin platform. Today, we're in the process of replacing 3 competitive back-office deployments with Adrenalin. We are also pursuing strategic channel partnerships to extend our sales reach beyond our existing geographies and market segments, and we expect to make a significant partner announcement next week at NCTA's Cable Show in Washington, D.C. At The Cable Show, SeaChange will be showcasing our evolving multiscreen video experiences with gateway-enabled multidevice media sharing throughout the home, cloud-based video streaming to iPads and other IP connected devices, on-demand services delivered through ODT streaming clear, content offers and promotions that increase subscriber uptake and compelling video and interactive banner advertising tailored for every screen. We're expecting to host senior executives of the world's largest cable operators at our booth at the show. Now, I would like to briefly touch on our advanced advertising capability. SeaChange has pioneered the delivery of highly relevant and valuable dynamic advertisement and VOD content streams. With our next-generation Infusion platform, more operators will capitalize on the ability to replace ads far quicker than the weeks that it otherwise took with ads that were baked in by the content provider. In addition to providing new monetization opportunities, the replacement ads maintain freshness in the VOD experience. Further, operators can disable the ability for fast forwarding through the advertisements, making VOD an even more attractive environment for programmers and advertisers. The growth of VOD viewing, currently at 19% per year and continued expansion of available VOD content, creates a virtuous cycle that is helping expand the VOD advertising opportunity for all market participants. This, along with other advances in the industry, including ventures such as GNU Ventures, which has created an ad sales service for national advertisements that can then be distributed over an advanced ad delivery platform such as SeaChange Infusion, will help to enhance the value of VOD advertising and spur broader adoption. Our next-generation Infusion platform has already been deployed by major cable operators in Europe and 1 customer is currently serving between 1 million and 2 million VOD ads per day. As a market share leader in back-office systems for VOD, which are tightly integrated with the Infusion ad platform, we believe that SeaChange is uniquely positioned to benefit as the market opportunity unfolds for VOD advertising as well as personalized and coordinated advertising in multiscreen video. In conclusion, we continue to execute on our strategy and are seeing strong market adoption of our next-generation products. We hope to build on this momentum over the course of the year and look forward to updating you on our progress on our next earnings call. I am now delighted to introduce Mr. Anthony Dias, who was recently appointed to the role of Interim CFO. Tony joined SeaChange in 2007 as Vice President of Finance and Corporate Controller, and became Chief Accounting Officer in 2012. He has many years of leadership experience and deep industry knowledge, and we are confident that he will continue to be a key contributor to the execution of our financial and business strategies. Tony will now walk you through some of the financial details of the quarter and provide our outlook for Q2 and the rest of the fiscal year. Tony, please go ahead.
Anthony C. Dias: Thank you, Raghu, for the kind introduction. It's an exciting time to be taking on this expanded role of the company, and I look forward to continue to contributing to the company's momentum. I'll start by going over the first quarter results before providing our outlook for the second quarter. First, I wanted to note that during the quarter, we made a change in the way we allocate our IT expenses. Previously, IT expenses were allocated among all expense line items including cost of sales, sales and marketing, research and development and general and administrative expenses. Starting in the first quarter of fiscal 2014, we're including IT expenses slowly in the general and administrative line item. As a result, we provided a table at the back of our earnings release detailing the reclassification of expenses for the prior fiscal year period. As Raghu discussed earlier, revenue for the first quarter fiscal 2014 was near the top of our guidance range at $35.6 million. A 2.9% year-over-year decrease was more modest than we anticipated due to the strong new product growth of 70%, which offset anticipated decline in our legacy revenues. Product revenue rose 24.2% year-over-year to $14.8 million or 42% of total revenue, up from the 33% a year ago, led by increased sales of our Nucleus gateway software. This strong growth was countered by a 16% decline in service revenue, primarily driven by reduced service revenues associated with some of our legacy products. During the first quarter, we experienced significant international growth led by the roll outs of our new products across both new and existing customers. International sales rose 43% year-over-year and accounted for 57% of total revenues, up from 39% a year ago. Our blended gross margins was a healthy 54.7% on a non-GAAP basis, reflecting the higher mix of product license revenues and our non-GAAP operating margin came in at 3.3%. Non-GAAP operating income per share equaled $0.04, topping our guidance range of $0.01 to $0.04 per share. Our balance sheet continues to be very strong. During the quarter, we generated $3.1 million in operating cash flows and ended the quarter with cash balance of $122.3 million. Now, I'd like to turn to our outlook for the second quarter fiscal 2014. We anticipate that revenues will be in the range of $37 million to $40 million, and non-GAAP operating income on a fully diluted share basis will be in the range of $0.07 to $0.10. For the full year, our guidance remains unchanged with revenues in the range of $165 million to $175 million, and non-GAAP operating income on a fully diluted share basis in the range of $0.53 to $0.71. Thank you. With that, I'd like to hand the call back to Monica.
Monica Gould: Thank you, Tony. Roya, could you please provide instructions for the Q&A session?
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Richard Ingrassia with ROTH Capital Partners.
Richard Ingrassia - Roth Capital Partners, LLC, Research Division: Raghu, can you take a couple of minutes to refresh us on the mobile opportunity? Just scope that if you will, a range of products that they may touch and in order of magnitude perhaps, for addressable revenues in that segment.
Raghavendra Rau: Right. As I mentioned at the end of our Q4 earnings call, we are working with a major global operator to persuade them to use Adrenalin as a part of their overall video strategy, and there's been some strong interest in doing so. The value of a typical deal could be -- again, I mean, it depends how much they want to go or how many subscribers they want to serve and so on. But the initial value that we are presently looking at is between 1 million to about 1.5 million over -- for 1 installation in 1 geography, 1 country in Europe. So that sort of gives you a benchmark. It is a large country and if we can expand it to multiple geographies, it can be a significant revenue stream. But we have not planned any significant revenues in the mobile segment for our plans this year.
Richard Ingrassia - Roth Capital Partners, LLC, Research Division: Is there a crossover opportunity with Infusion or any of the other product lines or they're really not built...
Raghavendra Rau: That would be the second step. But at present, the mobile operators are sort of evaluating mobile strategies and seeing how they could provide their subscribers content both within the home as well as when they're outside. So that their competitors who could be the cable operators and IPTV service providers, don't eat into their subscriber base.
Richard Ingrassia - Roth Capital Partners, LLC, Research Division: Got it. Okay. And if you could, maybe provide a little bit more detail on product sales in the quarter. I know you don't disclose product by product but just maybe, as it relates to gross margins there, which came in a little bit higher than I have expected.
Raghavendra Rau: Right. So the gross margin is driven by the higher sales of products. For instance, this quarter, 38% was new product, 62% was legacy products. But if you look at the overall mix of products and services, it was about 41.6% and 58.4% services. Since product margins are significantly higher than service margins, that favorable product mix, from the typical 40/60 improves the overall gross margins.
Richard Ingrassia - Roth Capital Partners, LLC, Research Division: And are there new products in particular you would point to or new lines or legacy lines that either accelerated or -- well, in particular, accelerated faster than you thought?
Raghavendra Rau: No, the streamer business, as I mentioned in the Q4 call, we expected it to decline and that has declined from about $4 million to just about $1 million in this quarter.
Richard Ingrassia - Roth Capital Partners, LLC, Research Division: Okay. And then lastly, any comment on again, just an update on use of cash, either in the form of a buyback or possibly a dividend?
Raghavendra Rau: Yes. Due to a very limited trading window since our last buyback authorization expired in the end of January, our board has not had an opportunity to evaluate a new stock repurchase program. However, the board is absolutely committed to optimizing shareholder value and I expect them to evaluate the most optimal use of the cash in the near future, including the possible repurchase of our stock.
Richard Ingrassia - Roth Capital Partners, LLC, Research Division: Dividend on the table?
Raghavendra Rau: We've looked -- yes, as I mentioned, we'll evaluate all the optimal uses of cash and that includes a possible repurchase of our stock, includes the possibility of a dividend.
Operator: Our next question comes from the line of Michael Kupinski with Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Just kind of following up on the gross margin question. What type of margins were you able to -- if you're able to give me any more color here, what type of margins were you able to achieve with that 70% increase in new product sales? I mean, what -- I mean, obviously, the legacy business in there had much more margins but I was just wondering, can you just frame for us what type of margins you were getting on the new product sales?
Raghavendra Rau: Right. The overall product margins were about 79%. If you look at licensing revenues, whether it's new product or legacy, it really doesn't matter. Licensing revenues are extremely high margin. I mean, that could be even as much as 100%. However, when you see some products bundled with hardware, which we generally pass-through, because even though our software can work on anyone's commoditized hardware, some customers ask us to provide the hardware along with that. That brings down the blended margins and the overall margins this quarter was about 79%.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. And then you kind of hinted about the prospect of having some news coming out of the NCTA. Any benchmarks that you're hoping to achieve outside from this announcement you just mentioned at the cable show? Any traction for the Infusion product or anything else that you're kind of hoping to get out of the convention coming up here? Anything you can talk about?
Raghavendra Rau: Yes. I think what I'm very pleased about is that we are going to be hosting the CXOs of 3 or 4 of the world's largest operators at our booth. And this has not typically happened before and so I'm very pleased at that. So what they're going to see is some very compelling experiences, integrations with third-party products, which are established in the marketplace. We're going to announced a strategic partnership with a significant partner that would enable us to get some significant reach across telcos, IPTV service providers, mobile operators, as well as other geographies. And so we're really excited about the show next week.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Great. I look forward to seeing the products. And in terms of -- you mentioned the use of cash but one thing you didn't mention, any prospects for tuck-in acquisitions, anything out there that we might look for and if maybe you can just talk about pricing per acquisitions at this point, anything interesting out there?
Raghavendra Rau: Right. We are committed to doing some tuck-in acquisitions. What I have indicated in the past and have continued to reiterate, we are not planning any large acquisitions. Our acquisitions are going to be technology acquisitions, tuck-in, and, we've -- yes, we have identified a number of potential targets and that's all I can say at this point of time.
Operator: Our next question comes from the line of Steve Frankel with Dougherty and Company.
Steven B. Frankel - Dougherty & Company LLC, Research Division: Could we start with Adrenalin and maybe give us a current customer count and did you win any new customers in the quarter?
Raghavendra Rau: We continue to have, as I've indicated earlier, about 40 design wins. I don't believe we have announced any new this quarter. But in the pipeline are at least few that we expect to continue to win.
Steven B. Frankel - Dougherty & Company LLC, Research Division: Okay. And then going back to the gross margin question, a similar mix of product and licensing, is this level of product gross margin attainable or similar mix of new and old products?
Raghavendra Rau: Yes, eventually, we would expect products to be significant. Over the next several years as we continue to move to becoming a pure-play software player, our product revenues will be significantly higher than the service revenues that's the long term. In the short term, yes, our target is to at least be 40% product and 60% services.
Steven B. Frankel - Dougherty & Company LLC, Research Division: I guess I'm -- what I'm really trying to get at is for the last 2 quarters, you've had significantly higher product gross margins than the previous 4 or 5 quarters. Is this kind of the new base for gross margins on the product side?
Raghavendra Rau: Yes, right. It depends on the product mix. But generally, it's always been about 70% plus.
Operator: Our next question comes from the line of Todd Mitchell with Brean capital.
Todd T. Mitchell - Brean Capital LLC, Research Division: I would like to talk kind of at a higher level and holistically about in terms of accelerating or decelerating both deployments of Adrenalin and the home gateway platforms, what are kind of the gating factors to cause an MSO to make this transition in terms of the upgrade path? And specifically, we've learned recently that Charter is going to be putting out a cloud-based guide and they're going to be able to float kind of a sophisticated HTML guide on the legacy hardware. Does being able to do that accelerate the need to upgrade the back office because you're going to be accelerating subs that are getting to a prescreen offering?
Raghavendra Rau: Yes, the answer to the second question is yes. As far as the first question is concerned, in terms of why would somebody want to upgrade, there are a few factors. Number one is the ability to be able to provide a multiscreen offering. Number two is centralization, whereas previously, you had multiple award sites, you can now centralize with just 1 or 2, second one being primarily for redundancy. And so that gives you OpEx in a savings. And in addition, you're able to bring third-party innovation because you've got a large number of open interfaces because the architecture of this product is based on the service-oriented architecture. So you can bring in third-party, let's say, a ThinkAnalytics recommendation engine, works with Adrenalin. You can bring Civolution watermarking technology, works seamlessly with Adrenalin. And so you give the operator the ability with an industry standard platform rather than a homegrown, proprietary platform to encourage third-party innovation and enable the operator to provide innovative services.
Todd T. Mitchell - Brean Capital LLC, Research Division: Right. But none of it is -- matters unless they can get it to their subscriber base and a lot of that is being gated in architect because of the CapEx budget of having to put new hardware in their houses. So if you get rid of that sort of needing to manage the CapEx cycle, that would accelerate Adrenaline and I think it's kind of what you said in your first answer. So then conversely, would that cause a deceleration in the need to get home gateways in the household? And from that question, I want to know sort of beyond the ability to float a more sophisticated guide in the household, what is the benefit of a home gateway as opposed to the existing hardware infrastructure, CPE hardware infrastructure?
Raghavendra Rau: Yes, the advantage of a home gateway is you can put this, let's say in the attic, you can put this in a basement. Well, before the splitters. So when you can bond as many as 24 channels and bring in a huge pipe into the home through the gateway and then using the wireless technologies, you can distribute throughout the home. You don't need to have multiple devices since it's going to support IP. You can have a dumb set-top box or you can just have an IPTV box or even an Xbox, and connect to the TV without having to need a dedicated set-top box. So the gateway will continue to be there as long as demand for content and the ability to view it on multiple devices exists.
Todd T. Mitchell - Brean Capital LLC, Research Division: I understand that you could also at this point, still run those connected devices across the DOCSIS plan. Is it true basically that in addition to a more sophisticated unit for interface is basically a QoS that has to do with capacity management? Is that fair?
Raghavendra Rau: Yes, that's absolutely fair.
Todd T. Mitchell - Brean Capital LLC, Research Division: Okay. So basically if you speed up one by using legacy devices, it -- the back office, it might slow down the gateway deployments but at the same time, it doesn't mitigate the need for them ultimately?
Raghavendra Rau: That's exactly right.
Todd T. Mitchell - Brean Capital LLC, Research Division: Okay, and then just --
Raghavendra Rau: And there will be, QAM will exist for a long time and IP will gradually dominate but it's going to be over several years that, that happens.
Todd T. Mitchell - Brean Capital LLC, Research Division: Right, right. And then just trying descending real fast to basically, there seems to me that one of the big things we're going to see at NCTA is basically moving advertising into the VOD world. I mean, this has been coming to fruition for what seems like forever. Would you say that we're seeing an acceleration in kind of the momentum to get that done? And I guess what are the core business and technology drivers that are making that happening from your perspective, would be the first question.
Raghavendra Rau: Right. I think we started to see in Europe, an acceleration of the number of ads that are placed. And as I mentioned in my opening remarks, I mean, one of our major customers in Europe is placing between 1 million and 2 million ads per day, and that has attracted the attention of others, the programmers, the advertisers and other players in the space. And so that's why we won a couple of European installations other than the one where we're doing 1 million to 2 million ads per day. We've won a couple of other installations in Europe. And what's changed is I think, finding the right business model. For replacement of ads, I think is one, as I talked about, the ability to freshen the ads and the VOD experience, the ability to have better catalogs and video available and your VOD library.
Todd T. Mitchell - Brean Capital LLC, Research Division: Is there any way that you could -- I guess one sort of -- do you believe that the momentum in North America where there's a much bigger ad market and a much bigger MSO base, to be much more maintaining -- is it in fact accelerating or is all the activity still in Europe at this point?
Raghavendra Rau: From our perspective, most of the activity that we have seen is in Europe. However, we are talking to a number of customers. As you know, many of the major customers here have SeaChange ad equipment but it hasn't really caught on as much as it has caught on in Europe. But gradually, I think as the ecosystem builds, you're going to see that change.
Todd T. Mitchell - Brean Capital LLC, Research Division: Okay. And in terms of your product there, is there a recurring revenue component?
Raghavendra Rau: It was not in the first deployment of the solution with the first European operator. But subsequent deployments, yes, there is a recurring on a per subscriber basis.
Todd T. Mitchell - Brean Capital LLC, Research Division: Okay. And is that recurring revenue stream basically of the same sort of magnitude that you get in your other businesses, compared to the initial upfront licensing or...
Raghavendra Rau: No, it's slightly smaller than Adrenalin or Nucleus.
Operator: [Operator Instructions] Our next question comes from the line of John Zaro with Bourgeon Capital.
John Aniblo Zaro - Bourgeon Capital Management, LLC: Just a couple of questions. One, I'm assuming that the whole -- the cash usage and dividends and buyback in the near future is because you couldn't have a board meeting or talk about it until after you had the quarter come out but it's imminent as opposed to -- because you've been studying it for basically 6 to 9 months while you're -- you couldn't do anything for 4 months.
Raghavendra Rau: Yes, I wouldn't like to use the word imminent. But yes, obviously, we have analysis of what needs to be done and I'm sure the board as I've mentioned, in the near future, will evaluate all of these options, including the possible repurchase of our stock as well as potentially consider...
John Aniblo Zaro - Bourgeon Capital Management, LLC: I guess what I'm saying is, we're not going to study it anymore, we've already studied it. We're just going to come make a decision at the board meeting, what we're going to do.
Raghavendra Rau: Correct. Most of the study has been done but it has to be presented to the board and the board has to make the decision.
John Aniblo Zaro - Bourgeon Capital Management, LLC: Got it. Okay. And then can you just talk about -- you and I have talked offline and we've also talked in these calls just about the sort of making sure that these implementations are all going correctly and at one point, you actually acquired a small firm to help you out on some of the implementations or just to have some people that had the technology know-how. Can you just tell me how those implementations are going? And do you still feel very comfortable about how they're all being deployed for the next couple of quarters?
Raghavendra Rau: Yes. By and large, yes. I think we are executing to our commitments. I mean, our issue is not so much that we don't have the business to be able to go out and execute, but to be able to execute and recognize, get acceptances in time.
John Aniblo Zaro - Bourgeon Capital Management, LLC: Right and that's really a factor of just being sort of methodical and then each time you sort of get to the next step, the other side has to sort of sign off on everything.
Raghavendra Rau: Correct.
John Aniblo Zaro - Bourgeon Capital Management, LLC: And make sure they've been tested and everything else?
Raghavendra Rau: Correct.
John Aniblo Zaro - Bourgeon Capital Management, LLC: And no, we don't really have any problem, implementations or anything like that? They're all going smoothly?
Raghavendra Rau: Yes, I've never seen in my what, 33 years of experience that there's never been any problems in implementation. But I see is -- keeps me awake at night.
Operator: Our next question comes from the line of Michael Kupinski with Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: It's just a little housekeeping question. Your G&A expense was a little bit more than what I was looking for and as a percent of revenues, I guess, it seems like it bounced up a little bit. Any thoughts on that line item? Kind of going forward, is that a good run rate or any thoughts on how we should look at that given that as a percent of revenues, it seems to kind of pick up a little bit?
Raghavendra Rau: Right. Partly, the reason was the reclass from IT, which accounted for about a bit more than $0.5 million. But yes, generally, we don't expect any significant expansion in G&A.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: So, yes, not an expansion but pretty much use that as the run rate going forward now with that reclassification?
Anthony C. Dias: [indiscernible] Q1 G&A is typically higher than the rest of the year though, just the audit fees and so on.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Correct. But as a percent of revenues, is that what we should gauge it at then? Looking at like -- what is it? 14% or so, or...
Anthony C. Dias: About 15%. Yes, 14% to 15% is reasonable.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to management for closing comments.
Raghavendra Rau: Again, thank you very much for your time and we look forward to providing you an update at our next earnings call. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.